Operator: Hello and welcome to McDonald’s January 23, 2013 Investor Conference Call. At the request of McDonald’s Corporation, this conference is being recorded. Following today’s presentation, there will be a question-and-answer session for investors. (Operator Instructions) I would now like to turn the call over to Ms. Kathy Martin, Vice President of Investor Relations for McDonald's Corporation. Ms. Martin, you may begin.
Kathy Martin: Hello, everyone, and thank you for joining us. With me on the call today are President and Chief Executive Officer, Don Thompson; Chief Financial Officer, Pete Bensen; and we have our Chief Operating Officer, Tim Fenton on the call for Q&A. Today's conference call is being webcast live and recorded for replay via the phone, webcast, and podcast. And before I turn it over to Don, I want to remind everyone that the forward-looking statements in our earnings release and 8-K filings also apply to our comments. Both documents are available at our website www.investor.mcdonalds.com, as with reconciliations of non-GAAP financial measures mentioned on today's call with the corresponding GAAP measures. Now I'd like to turn it over to Don. Don?
Don Thompson:
Peter Bensen:
Kathy Martin: Great. Thanks, Pete. We are going to now open the call for Analysts and Investor questions. (Operator Instructions) So we’ll start with Brian Bittner from Oppenheimer.
Brian Bittner - Oppenheimer & Co. Inc., Research Division:
Don Thompson:
Kathy Martin:
Keith Siegner - Credit Suisse:
Don Thompson:
Kathy Martin:
David Palmer - UBS Investment Bank:
Don Thompson:
Tim Fenton:
Peter Bensen:
Kathy Martin:
Michael Kelter – Goldman Sachs:
Don Thompson:
Peter Bensen:
Kathy Martin:
Mitch Speiser - Buckingham Research Group, Inc.:
Peter J. Bensen:
Kathy Martin:
David Tarantino - Robert W. Baird & Co., Inc.:
Don Thompson:
Kathy Martin:
John Glass - Morgan Stanley:
Peter J. Bensen:
Kathy Martin:
Jeffrey Bernstein – Barclays Capital, Inc.:
Don Thompson:
Tim Fenton:
Peter Bensen:
Kathy Martin:
Jason West – Deutsche Bank Securities:
Don Thompson:
Tim Fenton:
Don Thompson:
Peter J. Bensen:
Kathy Martin:
Joseph Buckley - Bank of America Merrill Lynch:
Peter J. Bensen:
Don Thompson:
Kathy Martin:
Howard Penney – Hedgeye Risk Management:
Don Thompson:
Tim Fenton:
Kathy Martin:
Matthew DiFrisco - Lazard Capital Markets:
Peter J. Bensen:
Kathy Martin:
Jeffrey Omohundro - Davenport & Company:
Peter J. Bensen:
Kathy Martin:
Jeffrey Farmer - Wells Fargo Securities:
Peter J. Bensen:
Kathy Martin: Our next question is Sara Senatore from Sanford Bernstein.
Sara Senatore - Sanford Bernstein: Thank you. Actually I do want to follow up on the question on the Dollar Menu comment. Basically, you're going more towards value. Obviously, we've seen mixed results in some of your markets. I mean, I think there was a comment about how Japan – the fact that ticket was really under pressure, Australia was obviously more successful with that. Is there -- I guess could you help calibrate why that might be the case and in the US, would you expect to see as you get more innovation on value and more marketing spend, would you expect to see that pressure on average checks like you did in Japan?
Don Thompson: Sara, just to clarify, we don't expect to have a tremendous amount of innovation around bringing a lot of new products into the Dollar Menu unless they're going to be favorable from a profitability or margin perspective. So, when you saw the Grilled Onion Cheddar Burger, that helped us in terms of the overall offset of margin. So, I wouldn't look to see a lot of new Dollar Menu-based products. What we want to see is a stronger balance relative to the entree-based products. So that's what's happening in the US. It is not going to be -- and as I've also heard that we are focusing more on Dollar Menu. Yes, more on Dollar Menu, but not more on the overall value perspective. The expenditures are similar, but we are focusing on a core equity that we have. Relative to Japan, that's a slightly different strategy. I'll let Tim talk a little about what we've done in Japan.
Tim Fenton: In Japan, Sara, coming off some intense promotional activities we had in celebration of the 40th anniversary of going into Japan. We're trying to get away from a lot of the couponing they were doing. It's been flooding the whole marketplace from all of the IEO industry to be more strategic and more of a branded value. So we've got a little growing pains there right now, but we think it's the best for the brand. We're seeing it resonate with our core products and again, we're still gaining in our market share. So, yeah, we have a little tough time going through this next couple of months, but we think long-term it's the way to reset our business.
Kathy Martin: Your next question is from Nicole Miller Regan from Piper Jaffray.
Nicole Miller Regan - Piper Jaffray: Thanks. Good morning. I was wondering if we could shift the conversation over to the human capital angle, because you've talked a lot about the marketing and menu tactics and strategies. With some of the shifts that you have had in the past year or so at the executive level, would you look at this as an inflection point and what changes do you think could be a result of those new dynamics? Thank you.
Don Thompson: Hi, Nicole. I'm going to assume, Nicole, you're talking about the shift that we had in the U.S. in leadership relative to Jeff Stratton and Jan Fields. One of the things I'd say first and foremost is, Jan was a solid leader for us at McDonald's and did an outstanding job in the U.S. business. When we looked at the results and where we wanted to take the business, we made a decision to move forward and make a leadership change. Jeff Stratton is a seasoned veteran with McDonald's. One of the things that Jeff brings is a global exposure relative to markets around the world and some of the things that they have done quite differently to enhance things like our menu pipeline. Jeff also brings a lot of operations experience as he was the head of our Restaurant Solutions Group relative to our capacity and productivity in the restaurants. And so the change that we made was a change that we saw as most appropriate for our business and we needed to be able to continue to move forward. I think his relationships with the franchisees is very solid, as Jeff at one point was one of the divisional presidents in the U.S. and so he set the ground running with collaborating with the operators, our marketing changes and enhancements that we made going into the next year and we feel very good about the prospects of where we're headed in the U.S. business.
Kathy Martin: All right. And our final question will be from John Ivankoe from JPMorgan.
John Ivankoe - JPMorgan:
Don Thompson:
Tim Fenton:
Kathy Martin:
Don Thompson:
Kathy Martin: